Operator: Good morning. My name is Rene and I will be your conference operator today. At this time, I would like to welcome everyone to Atkore’s First Quarter Fiscal Year 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. Thank you. I would now like to turn the conference over to your host, John Deitzer, Vice President of Treasury and Investor Relations. Thank you. You may begin.
John Deitzer: Thank you and good morning, everyone. I am joined today by Bill Waltz, President and CEO as well as David Johnson, Chief Financial Officer. We will take your questions after comments by Bill and David. I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or financial performance of the company. Such statements involve risks and uncertainties such that actual results may differ materially. Please refer to our SEC filings and today’s press release, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. In addition, any reference in our discussion today to EBITDA means adjusted EBITDA. With that, I will turn it over to Bill.
Bill Waltz: Thanks, John and good morning everyone. Starting on Slide 3, I am pleased to report that Atkore again delivered outstanding performance and record results in the first quarter. Despite continued challenges across the entire value chain and macroeconomic environment, we increased sales and profitability in the quarter. Our businesses are performing well and we continue to execute our plans for capital deployment. During the quarter, we completed two acquisitions, one in the U.S. and one in Canada that I will speak about in a moment and we returned $105 million to shareholders via share repurchases. Given the outstanding performance and results in Q1, we are also increasing our expectations for adjusted EBITDA and adjusted EPS in fiscal ‘22. Turning to Slide 4, we are increasing our expectations for adjusted EBITDA to a range of $875 million to $925 million. This is up $225 million from our previous expectations as we continue to expect profitability levels and our PVC-related products in other parts of the business to remain strong in fiscal 2022. This now puts us in line with our outstanding FY ‘21 performance. Given our robust cash position, we are now planning to repurchase at least $200 million in stock this year. We are committed to prudently using our capital to deliver value to our shareholders and plan to spend at least $1 billion over the next several years on capital expenditures, share repurchases and M&A. With that, I’d like to turn to Slide 5 and discuss our two most recent acquisitions. In December, we acquired Sasco Tubes & Roll Forming in Canada and Four Star Industries in South Carolina. Both of these acquisitions will increase our capabilities and help us better serve our customers. I’d like to welcome the employees from both companies and we are very excited to have each of you become part of Atkore. Sasco is a well-regarded brand in the industry, having been in operation for over 60 years. This acquisition complements Atkore’s existing product portfolio and enables us to provide a broader range of solutions for our customers in the U.S. and Canada. Four Star Industries is another strong performing company and increases our capabilities in the HDPE conduit space. We are very excited about adding this brand to our portfolio and we expect this category to grow over the next several years with the recent infrastructure legislation and focus on expanding broadband Internet access. HDPE conduit is often the product of choice to protect power and data cables and we believe Four Star will provide Atkore as a great platform to grow in this market. At Atkore, we are constantly looking forward. And while we are very pleased with our recent performance, we are even more excited about what’s to come for the rest of the year and beyond. As we look to the future, we are committed to growing sustainably and I will give a brief update on some of our activities in that area at the end of today’s call. As I mentioned before, all the success takes the whole team and we are thankful for the hard work and dedication from our entire organization and grateful for everything they do to support our customers. With that, I will turn the call over to David to discuss the quarter.
David Johnson: Thank you, Bill and good morning everyone. Moving to our consolidated results on Slide 6, net sales increased 65% year-over-year to $841 million. Adjusted EBITDA increased to $293 million, which drove our adjusted EBITDA margin to 35% in the quarter, both up significantly versus the prior year. Our adjusted EPS increased to $4.58. Turning to Slide 7 and our consolidated bridges net sales increased by $330 million primarily due to higher selling prices and the contributions from acquisitions completed in early 2021. As we mentioned in our last earnings call in November, we expected volumes to be down in Q1 due to industry wide challenges with labor availability, material shortages, project delays and volatility related to steel prices and inventories. Our team grew adjusted EBITDA by $156 million and we had EBITDA margin expansion in both segments. Shifting to our segment results on Slide 8, the Electrical segment increased adjusted EBITDA by $146 million and adjusted EBITDA margins by 920 basis points. In our Safety & Infrastructure segment, net sales increased by 61% from the prior year and adjusted EBITDA increased over 90%. And now a quick update on our capital deployment progress on Slide 9. We deployed $150 million in Q1 between capital expenditures, M&A and share repurchases and we are on track to meet our plan to deploy over $1 billion in cash over the next 2 to 3 years. With that, I will turn it back to Bill to review our ESG commitments.
Bill Waltz: Thanks, David. Turning to Slide 10, we believe that sustainability is central to the strength, safety and longevity of Atkore. This morning, we issued our second sustainability report, which sets four external targets for 2025 that we believe will help guide and focus our efforts and enable sustainable value creation. I invite you to read our sustainability report, which details our efforts around areas, including health and safety, our supply chain and diversity equity inclusion. We are very pleased with the progress we made over the past several years in terms of ESG and we appreciate the external recognition that we have recently received from several leading independent organizations. Atkore’s products are firmly in line with the macro trends around electrification and alternative energy and we believe these external recognitions demonstrate that we have the company culture and employees who are able to turn these market trends into reality for all of our stakeholders in the years to come. With that, we will turn it to the operator to open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Andy Kaplowitz from Citigroup. Your line is open.
Andy Kaplowitz: Hey, good morning guys.
David Johnson: Good morning, Andy.
Bill Waltz: Good morning, Andy.
Andy Kaplowitz: So obviously, another significant guidance raise, but you are still suggesting slowdown from the $300 million or so that you just reported. So is there anything you are seeing across your businesses that suggests your ability to price versus cost is normalizing yet and what does this year’s potential $900 million EBITDA tell you about the possibility that you could normalize higher than the $600 million that you talked about as a normal basis in ‘23 and beyond?
David Johnson: Yes. So Andy, I will try to walk through sequentially. In the $900 million there, the $875 million to $925 million is our best estimate at this time with two things starting to happen is competitor backlogs are down. Now if they used to be 4 days and they went to 12 weeks, they are down to 4, 6 weeks. So they are still up relatively high and therefore, the pricing and you’re starting to see a little bit more discounting. So that’s what’s giving us to use that number. If things continue like they are, would there be a path to $1 billion potentially. I know that’s what our team is driving – but that’s – there is a couple ifs in there that way too early to forecast beyond the $875 million to $925 million. As for next year, we’re going to stay with the $600 million at this stage, and we will talk more about 2023 probably around Q4 at this stage.
Andy Kaplowitz: Bill, very helpful. And then could you give us more color into what you’re seeing in terms of organic volumes and your segments, is there anything to read into in terms of the underlying markets? I know you said you expected volume headwind in Q1, supply chain on Omicron and labor. But could you give us a little more color to how these disruptions were interrupting volume and how about volume in your segments going forward?
Bill Waltz: Yes. So we still think low single digits going forward. Almost, Andy, I am hard press to find an indicator that’s not positive, architectural billing index, the architects, AII, Dodge Momentum Index, almost every sector of Dodge is forecasted to be up this except for recreational parks. So it seems to be there. It’s just the first quarter was obviously tough as we walk through and should be no surprise. For us, we are so there for forecasting that to come back into the low mid single-digits. And through January, we are trying to see like our electrical side of the business kind of in that mid single-digit volume growth, so – and a little bit slower in S&I, and I think that’s where people are still trying to time things like steel purchases and so forth that you can do in large solar and OEM opportunities that you don’t see in the electrical side. So that’s hopefully answered all your questions.
Andy Kaplowitz: It did. And any sort of incremental issues on the renewable side or what’s the outlook for that business in ‘22?
Bill Waltz: I don’t know for specifically ‘22. We’re definitely optimistic investing for the future, everything from just the way electrification, in general, to drive for lower carbon emissions. For me, I think, pretty self-evident in our organization. It’s where the world is going to go. So we’re investing how much is ‘22 versus 2024 or every year, if that’s still to be seen.
Andy Kaplowitz: Very much appreciated.
Bill Waltz: Thanks, Andy.
Operator: Your next question comes from Deane Dray from RBC Capital Markets.
Deane Dray: Thank you. Good morning, everyone.
Bill Waltz: Hi, Deane.
David Johnson: Good morning, Deane.
Deane Dray: Bill, you had given a framework for, however, first quarter goes, the strength that we see in the first quarter. Then if it was strong, you could see fiscal ‘22 growth being similar to fiscal ‘21. Is – now you’ve got first quarter in the books, does the volume decline change your outlook at all or are you looking at it holistically with price and the strength there? I would imagine...
Bill Waltz: Sorry, Deane, and either Parse or David can jump in. No, I think obviously, a strong Q1 is a record $293 million. It’s the highest at quarter in its history. Again, down volume, as we explained and Andy followed up on. So – but with those things for us to sit here and you already say last year was just an amazing year. And going forward, we’re pretty sure we’re going to repeat that. And to Andy’s question, is there a pathway way too soon, but I would love nothing more. We would love nothing more and Q3, Q4 earnings to talk about $1 billion. So we will see as the year progresses. So we’re on record to possibly set a record.
Deane Dray: And this has been – the topics come up before about how much of the margin would you hold on to in the normalization process. Any thoughts there?
Bill Waltz: No. Other than – well, yes, I guess, is that go to say a precise number and a precise year is difficult. What we think would happen is it’s not like it’s a binary effect that all sudden 1 day you wake up and pricing goes back to what it was in 2019. So now whether that’s a 3-year trail, a 2-year trail, a 5-year trail but that’s what gives us confidence when we put a marker out there of $600 million. And that may, as David has explained in previous quarters, that may not be, almost Andy’s question, that may not be 2023. That could maybe be 2024, like we are above that for next year, price headwinds, but then the Atkore business system takes over. And that’s where M&A, the deployment over $1 billion, all the investments in organic, the productivity that I think if you imagine one line of us continuing to crank behind the scenes, in an upward fashion while we faced the price headwind, it’s a question of if and when we get to $600 million. I mean, internally, we love to never get to $600 million. But I don’t know that date or time, if that makes sense.
David Johnson: And one other thing I’d point out, Deane, too, is when you look at the volume for the quarter, we had indicated it, but I would also say that with that volume decline that we were able to hold pricing to where we were, I think it’s a pretty nice indicator of how strong of a quarter it was. And all indicators are that there is a lot of business out there. It’s a matter of supply chain, getting folks to be able to execute the projects, and we expect our volumes to pick up over the rest of the fiscal year.
Deane Dray: That’s really helpful .As you described all the factors that went into the volume decline labor, raw material project delays, volatility in steel prices and so forth, that’s sector-wide, but you’re all unique in terms of being able to consistently pass through the raw material cost increases. So that’s all good news for us. And then just last question for me is – and this has come up a couple of times, the M&A part of your growth algorithm. And we’ve seen a couple of nice tuck-in deals with Sasco Tubes and Four Star. What’s the funnel look like? And how do you look at the funnel? Is this – are there more like capacity expansion? Is it product expansion like HDPE? Do you do a heat map with where growth is in the industry and you’re more than 500 miles in terms of being able to ship? So kind of take us through that M&A.
Bill Waltz: Yes. So Deane, it’s almost a simple answer, all of the above. The funnel has been as healthy or healthier than it’s ever been. Some of that, again, as we’ve explained, the desire to spend $1 billion and a large percentage of that we want to do on M& A., if not, where we think the stock price is, that’s not a bad alternative. But we’ve doubled the size of our team, the focus of our executives and general managers on contacting deals and so forth, so well over 100 deals in the pipeline and being evaluated. A large number of those touched every quarter and followed up on. So from there, it’s really just which ones are actionable because as you saw in this quarter, like you’ve seen Sasco, it’s a great company. I think we can bring our Atkore business system to and helps us increase our sales in Canada. So there is lots of different synergies there. And then HDPE getting into a new product category that we will invest in additional organically and it’s another M&A opportunity to come up. But you just think about that to go all the focus on hardening the grid and putting electrical lines underground, all the focus on 5G and digital, all that requires all this cable the infrastructure bill. So this is like perfect for us to get into a market that’s growing dynamically that we think we can bring value and then we can bring the one order, one delivery, one invoice to and partner with our customers. This – we can do things like this all day long. We just need to do more of them and bigger is about the only thing internally we’re focused on because, again, we have $1 billion here to deploy.
David Johnson: One thing I would add, Deane, is we did say that for a while, we had several acquisitions internationally, and we were waiting on kind of making sure we have the integration process done. Those businesses are running really well. We’re growing kind of high single digits internationally. So the opportunities in Europe and some of the other footprint areas that was already in our other opportunities for us.
Deane Dray: Great to hear. Thank you.
Bill Waltz: Thanks, Deane.
David Johnson: Thanks, Deane.
Operator: Your next question comes from Chris Moore from CJS Securities. Your line is open.
Chris Moore: Hi, good morning guys. Thanks for taking a couple of questions. So, your pricing was up 368. It looks like you are 266 electrical, 102 safety and infrastructure. Can you break it down a little bit further on the S&I side, the 102, just kind of – just all steel there or what’s…?
Bill Waltz: Yes. Chris, mainly, when you look at S&I, the input to that business is mainly steel. So, when you see what steel has done now it’s crested and come down slightly now, but when you look at it year-over-year, it’s still up significantly. So, that’s the business opportunity to go and push that through. And so when you look at S&I adjusted EBITDA is up 90% in the quarter, they have done a really good job of continuing to price appropriately for the market conditions.
Chris Moore: Got it. And just maybe one more on the volume side, so volume was down $50 million, something like that, Q1, but you are obviously able to hold price quite well. I am just trying to understand, is it more – was it that decline more of a supply issue or just kind of breaking it down between supply and demand on the volume side?
Bill Waltz: I would – as best we can estimate, Chris, it’s more our customers just do they have the labor out there. I mean you can’t stock a Starbucks, trying to get people to work when it’s cold out and shift jobs and then I am winging number here a little bit, but 1% to 2% of employees every week gone out because they have COVID, you add on that, what extra percent. There are people who don’t have COVID, but somebody in their family did is just tough. And then if we even have our products there, which I think in general, we do a good job. But some other component that was waiting in a port didn’t get there or some other manufacturer was – had a challenge or all the logistics with freight and trucking right now, it just goes – just like the LA ports are backed up, unfortunately, job sites are backed up. So again, to the opening comments and questions, we feel the demand. When I am out there, I am hitting the road again actually this evening to go see the customers and sales agents for the rest of the week, everybody feels the demands there is just trying to line up everything to get it all. But I think as that lines up, therefore, we go from down high-single percent actually growing low to mid-single digits because again, every indicator is positive right now for the next couple of years.
Chris Moore: Perfect. Last one for me. Just on free cash flow. Free cash flow was $88 million, net income was $204 million. Obviously, inventory was up $75 million, receivables are up, so in terms of the ability to kind of match that GAAP net income, catch up in the second half of the year from where you sit now or just kind of how you are looking at it?
David Johnson: Yes, Chris. So, a couple of things on the inventory. Certainly, on the steel side, supply chains have started to get caught up. So, we are starting to get the raw material we have and probably a little bit higher than we typically would hold. So, that was one element. The other element is we did have this volume reduction that we knew about, but probably not enough time to really adjust the high ups in time. So, that’s why you saw that growth in inventories. And even in the other net, there are some accruals we paid out. Q2 is never a great cash flow quarter for us. And then the reason for that is we typically have a couple of tax payments, which this year will be pretty large tax payments given successes we have had on the earnings side. But we also pay out like our annual rebate programs and all that. So by and large, we expect a very strong second half of the year. But the first half, we will just have a little bit of this working capital build.
Chris Moore: Got it. I appreciate it guys.
Bill Waltz: Thanks Chris.
David Johnson: Thanks Chris.
Operator: Your next question comes from John Walsh from Credit Suisse. Your line is open.
John Walsh: Hi. Good morning everyone.
Bill Waltz: Good morning.
John Walsh: Maybe just first question around kind of the PVC business, obviously, it’s something you guys spike out in your disclosures, very strong performance. Obviously, price is part of that, but just wanted to understand if something is changing in that market, either new uses for PVC acquisitions, etcetera, just what are you kind of seeing there maybe versus the last couple of years versus the next couple of years forward on and if that’s kind of a structurally larger business going forward?
Bill Waltz: I think it’s – there is no real new entrants. There is always like HDPE. Somebody can use HDPE versus PVC. But they really – and I could get into all the increased use of that. They really do have their own homes like in a city, it’s going to be PVC and development is going to be PVC, along the highway is going to be HDPE and the same with FRE, fiberglass, like they have their own niches. So, I don’t see that switching, Chris, as much. One area is just the growth back to whether it’s data, digital, sub-developments that kind of nonresidential or residential homes, excuse me, that were slow over the last couple of years is now the millennials are buying homes and so forth, and that market is growing. I think the markets are poised to be strong, but not a lot of back and forth. Maybe, but I am stretching here within water, more people using PVC than what used to be steel and cast iron, piping and so forth. So, a little bit more opportunity. But 80% status quo from users.
David Johnson: And I do think that some of the uses to Bill’s point have really seen a pretty significant increase, like utilities, bearings, power lines and all that. So some of the things that have been out there and California as far as investments, and these investments are significantly higher than what we have seen in the past.
Bill Waltz: Yes. So, just to echo David, I spoke more like from a one product substitution. But yes, the markets are growing. In California is spinning every electrical line underground, that’s a lot of PVC conduit.
John Walsh: Great. And then maybe just two more quick ones here if I can. One, just on the M&A front, can you remind us the financial metrics you target, whether it’s from a return on invested capital perspective, etcetera? Obviously, there has been a kind of steady diet. You have maintained a very cap?
Bill Waltz: Yes. So, really quickly without going through all the modeling, but we do look at it as a standalone and with synergies. We look as returns of the amount of basis points above our cost of capital. So, we are looking 300, 500 plus type of range, John, on this kind of cash flow basis.
John Walsh: Great. And then maybe just a last one, obviously, incredibly strong EBITDA as you guys have been talking about a lot of question on sustainability of it. But can you talk about what you are doing in terms of investments? So, you have this strong performance. Are you thinking about taking up reinvestment levels? Are you moving into adjacent kind of markets where you think we will be able to see some outgrowth over the next couple of years? Just any color around there?
Bill Waltz: Yes, it’s a great question, John, while every question has been good. But the absolute answer is yes and literally every facet. We realize we are in a unique situation last year, this year. And again, we are not going to get into specifics for 2023 here. But with that, how do we take advantage and that’s why if you look in previous years, we would have had CapEx at $30 million, maybe $40 million, and a rough number here, it’s on the deck, but like $90 million, give or take, this year of CapEx. We are investing, again, 2x to 3x in things like digital. So, whether that’s finishing out ERP systems for our organization, whether that’s a new atkore.com, whether that’s apps, just across the board with anything digital to make it easier for our customers. And then also organically, it’s still in the single digits, but it’s rapidly moving from new product development from the low-single digits to the mid-single digits. So and lots of products over the years we are adding people in that organization to drive things. So, I think across all facets, we are looking at how can we really accelerate organic growth. We already mentioned we are investing more in how to accelerate M&A and then we are putting the capital behind it. So literally, for example, we are pushing three or four key initiatives right now, as we always do. We will have a senior leadership team in a month. That’s where I am going to challenge the general managers just to go, what other opportunities are out there, how can we skunkworks things just to make things move even faster. So, I think we noticed we are in this unique time. And now this is time to use the great talent that Atkore has its culture is Atkore business system to truly take us to the next level.
John Walsh: Great. Thanks very much for taking the questions.
Bill Waltz: Thanks John.
David Johnson: Thanks John.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn the call over back to Bill Waltz for closing remarks.
Bill Waltz: Before we conclude, let me summarize my key three takeaways from today’s discussion. First, Q1 was a great start to the year, and we have a strong outlook for earnings in 2022. Second, we are executing our capital deployment model with $150 million deployed in Q1. Third, sustainability and ESG are core to our products, customers and employees, and we are very excited about what lies ahead in this area. With that, thank you for your support and interest in Atkore and we look forward to speaking with you during our next quarterly call. This concludes the call for today.
Operator: This concludes today’s conference call. You may now disconnect.